Operator: Welcome to Lennar's third quarter earnings conference call. (Operator Instructions) I will now turn the call over to Mr. Scott Shipley, Director of Investor Relations for the reading of the forward-looking statement.
Scott Shipley: Good morning. Today's conference call may include forward-looking statements that are subject to risks and uncertainties relating to Lennar's future business and financial performance. These forward-looking statements may include statements regarding Lennar's business, financial condition, results of operations, cash flow strategies, and prospects. Forward-looking statements represent only Lennar's estimates on the date of this conference call, and are not intended to give any assurance as to the actual future results. Because forward-looking statements relate to matters that have not yet occurred these statements are inherently subject to risks and uncertainties. Many factors could cause Lennar's actual activities or results to differ materially from the activities and results anticipated in forward-looking statements. These factors include those described under the caption Risk Factors contained in Lennar's Annual Report on Form 10-K most recently filed with the SEC. Please note that Lennar assumes no obligation to update any forward-looking statements.
Operator: I would like to introduce your speaker for today’s call, Mr. Stuart Miller, President, and CEO. Sir, you may begin.
Stuart Miller: Thank you and good morning everyone. I would like to thank you for joining us for our third quarter 2009 update. I’m joined this morning by Bruce Gross, our Chief Financial Officer, Diane Bessette, our Vice President, and Treasurer, David Controller our Controller, and of course you’ve heard from Scott Shipley. I’m going to begin with some opening remarks about the current housing market in general and then comment on our homebuilding, and finally focus on the progress we’ve made on managing our balance sheet and joint ventures. And after my remarks Bruce will provide additional detail on our numbers and then we’ll open the phone to questions and as usual, I’d like to request that during our question-and-answer period, everyone please limit to just one question and one follow-up so that we can be as fair as possible to all of our participants. Now as you can see from our press release this morning, we continue to make meaningful progress in preparing our company for a stabilized and ultimately recovering housing market. We’re gaining confidence that we’re getting much closer to the end of this housing-led downturn and while there is still little visibility as to sales pace and pricing power looking ahead, the uncertainty as to the size of the declines is diminishing. In the third quarter we started to see some real signs that the housing market is in fact starting to stabilize. There is no question that the rate of descent in both sales and pricing has begun to decline and in some markets we’ve actually seen stabilization. There has been a discernable increase in traffic reported in many of our communities as purchases have begun to consider the home purchase as attractive again. A combination of low prices, lower interest rates, and government incentives have worked to peak the interest of primary buyers and dispel the taboo about home purchases that has deterred so many from the market. Additionally with home affordability at record highs and with low price points offered in the market, there are more buyers interested in making a purchase. The sense that now is the time to buy is starting to gain momentum as potential qualified purchasers are getting confirmation from news reports and the overall stock market that prices are at or near lows. In our third quarter we saw our sales volume decline at the lowest percentage rate since November of 2006. We’ve also seen in most of our divisions, a stabilization, or slight decline in the use of incentives which means in effect, that prices are stabilizing in many of our communities. Our incentives per home fell in the third quarter by some $11,000 per home though that’s in part due to lower specs and lower prices but perhaps more reflective of market conditions, incentives were reduced by a little over 2% of the sales price of homes. While there continued to be significant headwinds that limit stabilization and recovery, both for the economy in general and for housing as well, there are some significant positive influences that are beginning to shape a more positive future. And perhaps the most important and least tangible of these factors is the general confidence of the consumer. Now by no means would I suggest that housing is out of the woods and recovered, to the contrary, many important headwinds remain. Foreclosures continue to build and add to inventory at a significant rate. Mortgage rates have been fluctuating and while low today, are significant and sometimes uncertain factor for the future. Tax credit programs that have stimulated purchasers to make a purchase, are potentially ending or at least their futures are uncertain. And unemployment and gas prices are on the rise. Today’s economic environment and housing market is still tenuous and still suggests that there is downside risk. But with that said today’s environment is showing some real promise for stabilization and feels materially better then the absolute hopelessness that had existed for so long. At Lennar we focused in three primary areas as we prepare our company for stabilization and ultimately recovery, and I’d like to briefly discuss these areas. The first is Lennar’s strategy. That Lennar strategy has been to streamline and prepare our core homebuilding operation for profitability and to position as a pure play homebuilder in a stabilizing and then recovering market. Second we’ve remained focused on the asset management side of our business and have fortified our balance sheet to provide a solid foundation for our operations and to be positioned for growth as market conditions stabilize. And third, we’ve focused on the opportunities that invariably present themselves in the wake of distress. We’ve continued to make significant progress in all of these areas. Let me start with our core homebuilding business, our homebuilding operating strategy continues to be well defined and focused at the local divisional level. We have 29 homebuilding divisions and each division is focused on refining its asset base, identifying its core communities and core product offerings, generating current operating cash flow, and operating at profitable levels. Each is also focused on reducing the number of completed and unsold homes to enable a greater focus on profitability as we go forward. Overall, we’ve reduced the number of completed unsold homes from 625 in the second quarter to 515 at the end of the third quarter. And just about every one of our divisions will be operating at cash flow positive and profitable by year-end and the divisions that are already operating at these profitable levels have begun looking at and purchasing distressed opportunities to grow and expand organically levering their efficient operating platform. The leverage of our division overhead that will return as new purchases are added to our existing operating platform will dramatically enhance profitability in each division. In every division we’ve reworked our product to appeal to today’s value oriented first time and move up purchaser. We’ve also reduced the number of plan offerings and have value engineered those plans in order to create maximum efficiency and reduce construction costs. SG&A has been right sized in all of our divisions to today’s production levels and each can handle additional volume and with very little additional overhead. On the asset management front, we’ve continued to fortify our company by continuing to manage and restate our land asset while we carefully manage our inventory of completed homes and reduce the number and composition of our joint ventures. We’ve continued to review all of our land assets on a quarterly basis and have restated asset values to match market conditions. Over the past years, we’ve significantly reduced our land asset, which now requires far less management time. As market conditions stabilize we will finally see an end to this impairment cycle and will be left with assets that can and will produce improving margins when the rate of decline in market pricing subsides. While this is an ongoing process, in a still declining market, we’ve come quite a long way. We’ve also reduced the number of joint ventures that we carry again. The number of joint ventures has fallen from 270 at the peak in 2006 to now 72 and that is down from 85 just last quarter. Many of these remaining ventures are good ventures that have already been reworked and have solid assets that are positioned for our future. Additionally we’ve continued to reduce the maximum recourse debt to the company to $380 million from $422 million last quarter. Concurrent with this press release we’re also filing an 8-K with a power point presentation containing material additional disclosure on the joint ventures as we have. We hope that this disclosure will be helpful. Our balance sheet remains strong at the end of the third quarter with a substantial cash position of over $1.3 billion. Additionally there is nothing borrowed on our revolver and we have a responsible homebuilding debt to total capital position net of cash that is now at 35.6%. Our balance sheet and cash positions enable us to continue to seize opportunity where distress creates a unique value rather then walk away from opportunity. We anticipate that we will continue to use available cash to harvest value and opportunity from both our joint ventures and other sources as they arise. On the opportunity side, we’ve been preparing for some time to do what we have done in past real estate cycles and that is make the cycle our ally not our adversary. We’re clearly beginning to see those opportunities take shape. As noted earlier divisions that are profitable are already beginning to purchase new land opportunities on a very conservative basis. We’ve seen new purchases along the eastern seaboard, in Florida, in Texas and in California. In all of these transactions we have purchased finished homesites that match our product in place and that will contribute immediately to our bottom line. More importantly each of these purchases will produce a very high rate of return. On another opportunity front, the LandSource front, the very significant overhang that has existed on our company produced by our LandSource joint venture is now officially behind us. In the third quarter the LandSource bankruptcy turned into an investment opportunity for the company while we eliminated approximately $1.4 billion of joint venture debt. We have reported that we invested $140 million to purchase a 15% interest in LandSource which has some of the best remaining land in California and is now capitalized at a very attractive valuation. Additionally we purchased several assets out of the LandSource bankruptcy and we settled any claims against the company. This is an excellent deal for the company that will hold us in good stead for years to come. Additionally the independently managed LandSource structure results in a significant reduction of SG&A for the company overall. Additionally in the third quarter we have continued to mature our distressed asset go-forward strategy under the banner of Rialto. As I have noted in prior quarters, we’ve been preparing to be a significant participant in the distressed opportunities that naturally present themselves in down cycles. The team is formed and we’ve launched a program to raise independent capital in various forms to invest alongside our own capital investments. While its still premature to be making these asset purchases we feel that the timing is getting closer. Our strategy is to segregate our homebuilding manufacturing program from the more capital intensive asset opportunity programs such as we did in the early 90’s as we built what ultimately became LNR Property Corporation. And we’re confident that as the market corrects we will be able to create meaningful value for the company through this vehicle. Through our third quarter the housing market began to show signs that stabilization and recovery might well be on the horizon. While negative factors continued to define the realities of the quarter we saw sales and traffic improve each month sequentially during the quarter, coincident with the general up tick in consumer confidence. It is starting to feel like there are enough positive indicators out there that they are starting to define a real trend. At Lennar we’ve made a great deal of progress in the most difficult of market conditions. We have prepared our company for market conditions as they currently exist and we are positioned to be able to leverage our current platform by finding new opportunities in the wake of distress. I remain quite optimistic about our business and the housing market in general. Interest rates are low, while the tax credits that have stimulated sales to date are coming to a natural end, government officials are squarely focused on housing issues and continue to focus on reducing the number of foreclosures by enabling homeowners to keep their homes. Our government seems determined to use trial and error and trial again in order to fix the economy. And the general confidence of the consumer is returning to positive especially as it relates to purchasing a home. In the context of these conditions and in typical Lennar tradition, we squarely have one foot on the gas and one foot on the brake. Should the market take another step down, we are well positioned to pull back and should recovery actually begin, we are ready to participate.
Bruce Gross : Thank you Stuart, and good morning. In the third quarter we continued to strengthen our balance sheet. Our liquidity position remained strong during the quarter with $1.34 billion of cash. During the quarter we continued our focus on cash flow while also targeting attractive investments for this recovering market. We issued 8.1 million shares under our equity drawdown program announced last quarter, raising $99 million at an average price of $12.17 per share. The cumulative capital raise under this program now totals $225 million. Our ample liquidity enabled us to reinvest $140 million in LandSource as Stuart mentioned. In addition to the communities purchased from LandSource we spent approximately $77 million on well-located finished home site purchases during the quarter. Additionally we retired approximately $40 million of Lennar debt, while at the same time we continued our trend of significant progress towards reducing the number of unconsolidated joint ventures and related recourse indebtedness. Of the remaining 72 joint ventures that Stuart mentioned, only 29 have recourse debt, 18 have non-recourse debt, and 25 have no debt. Almost 50% of non-recourse JV indebtedness was reduced this quarter compared to the second quarter as $1.4 billion was eliminated as a result of the LandSource restructuring. This debt was non-recourse to LandSource and as a result there was no obligation to Lennar. The restructured LandSource entity, now called Newhall Land Development, is financially strong with more than $90 million of cash and no debt. LandSource does not have any support obligations from Lennar going forward. Additionally we reduced our maximum recourse indebtedness as Stuart mentioned to $380 million. These joint ventures with recourse indebtedness are supported by approximately $1.6 [billion] of assets, which are evaluated for impairments each quarter, and $121 million of reimbursement agreements from partners if Lennar is required to pay under the guarantee. We have reduced our maximum recourse indebtedness now by approximately 80% since the end of 2006. We continued to be successful in extending joint venture loans upon maturity as we have mentioned over the past several quarters, and during this quarter we extended 18 of our remaining joint venture loans. We are confident that in our fourth quarter we will continue the significant progress in further reducing both the number of unconsolidated joint ventures and the maximum recourse indebtedness to Lennar. There were no outstanding borrowings on our revolver and once again we remain in full compliance with all of our covenants under our revolving credit facility. Our leverage remained low as our homebuilding debt to total capital net of cash was 35.6%. And our inventory declined from $4.1 billion in the prior year to $3.6 billion in the current quarter excluding consolidated inventory not owned. There were approximately 4,600 homes under construction at August 31, 2009, which is an increase of approximately 14% sequentially. There were 109,000 homesites owned and controlled at quarter end. We ended the quarter once again with substantial equity of $2.4 billion and approximately 183 million shares outstanding at quarter end which is a book value of $13.12 and that would be approximately $18.00 per share when adding back almost a $5.00 per share deferred tax asset reserve, which we do expect to be reversed after several quarters of profitability. Turning to the operating results for the quarter, for the quarter we had a loss per share of $0.97 which includes $0.42 per share of charges related to valuation adjustments and other write-offs, and a $0.34 per share charge related to an non-cash deferred tax asset valuation allowance. Revenues as you know from the press release declined 36% which was driven by a 28% decline in home deliveries, and a 28% decline in average sales price to $239,000. Regionally the average sales price breaks out follows. The east region was down 18% to $215,000. The central was up 2% to $204,000. The west was down 12% to $329,000. Houston was up 1% to $203,000 and other was down 12% to $265,000. The average sales price is net of sales incentives, which as Stuart mentioned is down $11,000 sequentially, it was $53,000 in our second quarter and is $42,000 per home in the current quarter. That compares to $46,000 in the prior year’s quarter. The decline in sales incentives sequentially was noted in every one of our operating regions so this was a broad improvement in the sales incentive decline. Our gross margin was 15.6% before impairments, the pre-impairment gross margin declined from 18% in the prior year, however improved sequentially from 14% in our second quarter. The sequential improvement in gross margin is primarily due to the reduction in sales incentives sequentially that I just mentioned. The lower sales incentives is a result of the improved selling environment, our repositioned product strategy, as well as fewer completed unsold homes which in prior quarters commanded larger incentives to convert that inventory to cash. Our impairments for the quarter were $118 million, and that compared to $132 million in the prior year’s quarter. This was broken out as follows, $49 million for homebuilding, $1 million for land sold or under contract, write-offs of option deposits and pre-acquisition costs were $9 million, and joint ventures were $58 million. The impairment process followed the same rigorous discipline we have followed each quarter throughout the downturn. We have continued to focus aggressively on reducing our SG&A costs which declined $56 million year over year. SG&A as a percent of revenue from home sales was 15.9% which increased 20 basis points from last year due to lower revenues in the current year. Throughout this downturn, we have implemented aggressive cost reduction initiatives resulting in a lean and efficient structure and as volumes are expected to increase in the fourth quarter, we expect to see the benefits of leveraging these cost reduction initiatives that we’ve already implemented. New orders narrowed their year over year decline to 8% and backlog improved 20% sequentially from our second quarter. The cancellation rate was 19% for the quarter versus 27% in the prior year’s quarter and in the third quarter we started approximately 3,100 homes to match the improved sales pace of 3,100 new orders. This positions us well for stronger deliveries in our fourth quarter. Our backlog conversion ratio was 130% in the quarter versus 96% in the prior year’s quarter. Last quarter we indicated that we do expect our third quarter backlog conversion ratio to decline sequentially from the 191% in Q2, as we significantly reduced the number of completed unsold homes. Our financial services segment earned an $11.2 million profit this quarter despite lower revenues and this compared with a $12.9 million loss in the prior year. Our mortgage pre-tax improved to a profit of $9.8 million from a loss of $13.2 million in the prior year and our title company earned $1.5 million this quarter compared with a loss of $600,000 in the prior year. The company is financially strong and our strategies have positioned us well towards rebuilding profitability. And with that I’d like to turn it over for your questions.
Operator: (Operator Instructions) Your first question comes from the line of David Goldberg - UBS
David Goldberg - UBS: Nice quarter, first question is about the finished lots that you are purchasing and Bruce thanks for the detail on the amount that you said on the finished lots, I’m trying to get an idea of how long it takes do you think on average to bring those lots through the process, sell the homes and actually deliver them. What do you think the cash conversion cycle is on lots that you’re purchasing today.
Stuart Miller : In most instances, we’re looking at homesites that would be started on almost immediately after being taken down. In many of those cases we’re taking down homesites only as we need them. In a rare instance we might be buying a group of homesites which would generally be in the 20 to 30 range. But in all instances the homesites would be ready to start almost immediately and when I say that, within a week, two weeks, at most a month. And then the construction cycle would be the natural construction cycle for the product in the particular division, that might range anywhere from three months to six months. So we’re looking at a rapid turnover of that inventory.
David Goldberg - UBS: The follow-up question was if we can get a little bit more into new homes, and more specifically how we as investors can kind of evaluate what is longer-term investment and I know you commented there were no further cash obligations to you but in terms of potential cash spend do you potentially see that you might have to put or choose to put more cash in and how we could evaluate that as we look forward, the success of the investment and what the eventual return is to you.
Stuart Miller : Well let’s think about that, first of all as it relates to the Newhall investment, there will be no additional outlays. In fact embedded in the amount of money invested, was a reserve for future expenditures that are needed for the development of the Newhall properties. So its already prefunded and that’s included in the investment that we’ve already put forth. So relative to that specific investment, I think that we can expect that there will be no outlays. There is the opportunity within that structure to look at and purchase other opportunities out there and so from an opportunistic standpoint should our partners decide along with us that there is a unique opportunity, we could make an investment in another property that is a like kind of distress investment. But it is purely at our option and only if we see a unique opportunity.
David Goldberg - UBS: And in terms of the evaluation.
Stuart Miller : I’m sorry, maybe I didn’t understand that part of the question.
David Goldberg - UBS: Just trying to look forward to see how we can evaluate the success of the investment and the return back to you as a company. What’s the right way to think about the success of your investments, the $140.
Stuart Miller : I think to be straight, its going to be fairly opaque. You’re probably not going to be able to segregate it out of the numbers that you see. The underwriting of the investment was to a very aggressive standard by us and all of the participants in that program. And its just a very attractive deal that we think is going to yield us attractive returns as we go forward but I don’t think you’re going to be able to segregate it out.
Operator: Your next question comes from the line of Carl Reichardt – Wells Fargo
Carl Reichardt – Wells Fargo: Just a follow-up on David’s question, did you mention that you expect some SG&A savings from LandSource’s [pre-creation]. Obviously, I know you shifted, there’s been some folks that have moved over there. Can you quantify that, is it minimal, or is it something significant.
Stuart Miller : We haven’t put a number out there but I think that its probably around $5 million, but that’s a guesstimate and I don’t want you to hang your hat on it. And it results from the fact that the management team that had been overseeing LandSource and some other investments has actually moved off to be its own independent company running that investment and doing some other things as well. So that is a significant savings to the company.
Carl Reichardt – Wells Fargo: And then just to follow-up and back on this issue of the divisions purchasing lots on a finished lot basis and I’m, I just want to make sure I understand the separation of land and homebuilding in your mind Stuart is really a function of development activity or more longer-term, lower return, perhaps high margin opportunities versus quick turn, finished lots, so that we can expect the company to continue to actively buy finished lots and turn them quick. Is that how you see the separation or am I missing something.
Stuart Miller : No I think that’s, I think you’ve probably said it better then I generally do, but that’s exactly what we see. We are inclined to forego the higher margin and lower turn opportunities in favor of the higher turn opportunities. We want to keep it short-term.
Operator: Your next question comes from the line of Stephen East - Pali Research
Stephen East - Pali Research: First question revolves around what you talked about sequentially your orders were growing throughout the quarter, can you talk about how that compares to historical and are you able to quantify any tax credit benefit in that.
Stuart Miller : To just answer the last part first, I think that the tax credit was pretty stable all the way through. I guess except for California. And we didn’t see much of a drop off as the California credit fell off. So it seems that it acted as an adequate spark to get some things going and that spark has kind of maintained itself. I think that falling interest rates have probably helped that along a little bit and I think we can’t underestimate just the general air of consumer confidence that’s kind of come back. Does it match up with historical trends? I think not. Generally the third quarter is, it kind of moves around a little bit historically. I think that it is somewhat of an anomaly that through the summer time you would see that the sales increased as we have this summer time. But I don’t have the actual facts on that and so we see it as somewhat of a trend forming but we’ll have to wait and see.
Stephen East - Pali Research: And then on the second part of it, did I hear you correctly that in the fourth quarter by year end all divisions will be both profitable and cash flow positive and if so, it seems like your JV’s are diverging a little bit from your core business from a profitability perspective, I just wanted to get some color on why that’s happening.
Stuart Miller : Well I was careful not to use the word all because I don’t want to fall off if there are a couple of divisions that haven’t quite gotten there. So, but as we have mapped out our divisions, division by division, right now it looks like just about every division will be cash flow positive and profitable. And Bruce maybe you could speak to as it relates to the ventures.
Bruce Gross : As it relates to the ventures, you have to set aside first the impairments and then what’s remaining in the ventures, there are some associated costs to carry in some of the ventures and we’re very focused on the ventures as we are with the rest of the business to try to bring those numbers back as close as we can to profitability. But from a division-to-division standpoint you’ll see most of the joint ventures more heavily weighted out in the western side of the country and as we’re looking at divisions getting back to profitability, we’re taking into account as we go into next year, that those will also be included in the analysis. Bruce maybe you could speak to Okay so are you implying then that the west is a little bit less profitable from a JV standpoint then the rest of the country.
Stuart Miller : I would say that right now it has been materially less profitable [inaudible] when you include joint ventures so let’s just be straight with it. And there, we anticipate that as we get into 2010 that even inclusive of the weight of the ventures in the west that we expect that we should be profitable across our core business and that’s inclusive of the ventures, so that’s what we’re looking at right now.
Operator: Your next question comes from the line of Michael Rehaut - JP Morgan
Michael Rehaut - JP Morgan: First question, if its possible to get a little bit more color on the improvement that you saw month to month during the quarter in terms of if August, will you go as far to say that it turned positive year over year and also if you could give some regional context to perhaps on a month to month basis where you saw perhaps some more improvement relative to other regions.
Bruce Gross : I would just say that the improvement sequentially was there month to month both on the sales as well in the reduction of sales incentives. Looking at it month to month, year over year, we haven’t really run those numbers exactly but there was clearly sequential improvement both in the pricing as well as the sales pace and it was pretty consistent across our regions.
Stuart Miller : I don’t think that we can say that year over year, the answer to the question was August positive year over year, I don’t, I haven’t looked at the numbers but its too tough a comparison to look on a monthly basis. Frankly quarterly is a little difficult too. But in any given month we might be running a special or some kind of a special program which might throw that month out of sync when you look year over year so I think that we’re all looking for some positive signs out there to kind of confirm a sense that the market is improving. And all I can say about the sequential improvement is that it was clearly there. It was clearly felt and it feels like we’re at the beginning of something that might be real.
Michael Rehaut - JP Morgan: Second question just on, you mentioned that you’ve been increasing the number of starts to better match sales pace and actually gave the number of started 3,100 homes to match the orders, so is it fair to say then that you’re not necessarily getting more aggressive from a spec standpoint, obviously you still reduced completed spec during the quarter. Is this more just getting into a higher state of readiness or on the margin, do you feel more confident maybe to add let’s say, one spec per community given that you have a higher level of traffic and order pace.
Stuart Miller : No we’re clearly not increasing the level of specs and to the contrary we’re continuing to tighten up in that regard. We are very focused on looking for that moment where we start to get some pricing power and we feel that by keeping the spec level at a minimum we’ll be able to get that pricing power if and when it does return. I noted that some of our incentives have started to be reduced which is a reflection of a little bit of pricing power in some of our markets. We see that a little bit more along the eastern seaboard, maybe a little bit in California. But by keeping our spec count really tight, we’re going to be able to manage that profit the best and really generate the best profitability for the company.
Michael Rehaut - JP Morgan: Good to hear, one quick technical question if I could, Bruce I think you highlighted in the cash flow that you spent about $77 million on finished lots and I assume, is that safe to assume that’s the amount that you’ve been referring to throughout the call in terms of the specific finished lots investments in the eastern seaboard, Florida and Texas, California.
Stuart Miller : That’s correct.
Michael Rehaut - JP Morgan: And can you give us an idea of the number of lots that you’re tying up through this.
Bruce Gross : Well including the communities we’ve purchased out of LandSource, we did acquire approximately 3,600 finished homesites, or primarily finished homesites, throughout the quarter.
Operator: Your next question comes from the line of Josh Levin - Citi
Josh Levin - Citi: I wanted to ask about your comments on the land market, you said that as Lennar you saw some good land deals and you made some land purchases, but with regards to Rialto you said still premature, so maybe you could elaborate a little bit on what explains the difference between what Lennar is doing and seeing and what Rialto is doing and seeing.
Stuart Miller : That’s a good question, and we haven’t provided a lot of detail on Rialto but Rialto is doing a lot of what we have kind of as part of our DNA and that is kind of out there looking for pure distress and opportunities to not only participate but to provide solid management and expertise. And its broader than just residential home building. So for example, many have noted that Rialto is a participant in the PPIP program along with Alliance, [inaudible], and a couple of other partners, we are one of the nine designated managers and are currently out raising capital. We will invest in the PPIP program along with other capital partners and Rialto will be a co-manager. We will participate in those kinds of opportunities. The money is not yet raised and the opportunity set is not yet defined but it might include pieces of RMBS or CMBS tranches that become available. So it’s a really different business segment that is a piece of what we have done historically and created tremendous value with. And for those who are familiar with the LNR history, this is a program that is very much along those same lines. So the opportunity set that is different relative to Rialto is Rialto is not likely to be a land investor or pure land investor but views its opportunities that is much wider and those opportunities have not yet quite presented themselves.
Josh Levin – Citi: My next question is on gross margins, Lennar’s gross margins continue to be above average relative to its peers and that’s regardless of whether you’re selling lots of spec or not selling lots of specs, why do you think you’re able to keep producing these above average margins relative to your peers.
Bruce Gross : I think its hard to compare to the peers, but what we could say with Lennar is we were early to the impairment process. We started early in the cycle. We’ve been very successful in redesigning our product and focusing on the first time and the value focused buyer. And we’ve made great improvements in our construction cost per square foot. I can’t speak for the others, but I know that we’ve been very focused on bringing down our land basis which we’ve done successfully through the impairment process and bringing down our construction costs as well.
Operator: Your next question comes from the line of Megan Talbott McGath – Barclays Capital
Megan Talbott McGath – Barclays Capital: I wanted to follow-up on Mike’s question earlier about ramping up production, the 3,100 that you started this quarter, can you just give us any color on what that’s like versus a normal quarter. Do you normally start about your number of orders, 50%, 60%, what is that normally look like.
Bruce Gross : The way I would think about it is we’re more focused on presales now so we’re trying to match better but we think that there’s more opportunity to improve margin as Stuart mentioned as we’re pre-selling more then we have been in the past. In some of the last few quarters because there was a higher cancelation rate that existed out there, there was more inventory on the ground so that there was less opportunity to focus on the presales.
Megan Talbott McGath – Barclays Capital: And then I just wanted to see if we could get any more color on the incentive picture, are the incentives that are going away the ones more likely at the closing table asking for a final price cut, or is it more sort of in the beginning of the process. Any specific patterns you’re seeing there.
Stuart Miller : No, and I have to be honest, I don’t have the detailed knowledge to be able to speak with certainty but I will say I think that the incentives at the closing table are pretty much a part of history. We’re seeing very little of that except as it relates to closing where there’s an appraisal problem. And that means that for whatever reason, an appraiser might have come in with a low appraisal and whether you sell the home to this purchaser or anyone else, you’re not going to get around it. But in terms of pure negotiation the incentives at the closing table are pretty much behind. Is there additional color on the incentives, the answer is probably not. The reduction in incentives right now is still pretty small and I think we’re going to have to sit and wait for the fourth quarter to really see what this trend looks like. So I hope that we’ll be able to give a little bit more color at the end of the fourth, but for right now it just feels like the environment is getting a little bit better.
Operator: Your next question comes from the line of Joshua Pollard - Goldman Sachs
Joshua Pollard - Goldman Sachs: In your comments about 2010 profitability, are you looking to be profitable in each quarter of 2010 or are you simply talking about profitability as you exit the year and in addition to that could you talk about, I assume you are expecting further improvement on the gross margin line as you deliver home on newer lots. Could you talk about the SG&A leverage that you expect to come through the numbers next year. Can you put any figures around how much of the costs you’ve cut do not need to come back or how much revenue you can add without adding an addition dollar of SG&A.
Stuart Miller : To speak to your first question first, I’ve tried to be careful to say that I think that there’s a positive trend or a sense of a positive trend that is starting to define itself in the marketplace, but I don’t think that we yet have visibility as to too many specifics as we go forward. We’re certainly running along, if we’re seeing stability, we’re running along a very rocky bottom, and I think that to try to quantify too much as we look ahead, would probably be a mistake. Are we going to be profitable every quarter as we go forward, I’m going to have to say that as it relates to too much detail looking ahead, I’m going to have to leave that an open question right now. That’s what we’re solving to, but I do think that there are going to be ups and downs in the marketplace and I don’t want to misrepresent something.
Joshua Pollard - Goldman Sachs: That’s understood. Have you started to run the analysis on whether or not you could be both profitable in 2010 and cash flow positive.
Stuart Miller : We have run that analysis. We’ve done it on a division-by-division basis and we’ve done it at the corporate level and we think that we can be both cash flow positive and profitable in 2010.
Joshua Pollard - Goldman Sachs: Just a technical one, what was your community count in the quarter and what was your cash flow to joint ventures if you have those two numbers.
Bruce Gross : The community count is in the low 400 number, its about 410 communities. Again keep in mind some of those are at the very tail end so its often a misleading number. As far as the cash flow with the joint ventures, there are a few moving pieces during the quarter because we did spend about $140 million relating to LandSource. But relative to cash contributions for the quarter outside of LandSource we did contribute a portion of the recourse reduction and there was some capital that went into the unconsolidated entities. We’ll provide more detail as we get through the 10-Q with an exact number for you but I would look at it that about half of the maximum recourse reduction this quarter came from Lennar so approximately half of that reduction from [$422] to $380 million, and then there were some other capital contributions beyond that.
Operator: Your next question comes from the line of Nishu Sood - Deutche Bank
Nishu Sood - Deutche Bank: Just wanted to follow-up on Joshua’s question about the 2010 guidance and the return to profitability, you already obviously have mentioned a little bit about operating leverage, I wanted to understand what the trajectories of impairments versus gross profit would look like. Would you expect one to improve let’s say a couple of quarters before the other one, either the gross profit or the impairments or is it going to be coincident, what do you think that will look like for you for next year.
Stuart Miller : I would think that you’re going to see coincident improvement. It makes sense. We’ve still been in a declining environment and recognizing that, the impairment cycle doesn’t finish until you stop declining. It seems to me that as you start to see stabilization and ultimately recovery, that would, and of course it won’t happen in all markets at the same time. We’ll report national numbers but they will be a compilation of a lot of mixes and matches. It seems to be that as the market stops declining, margins should improve at the same time because prices are at least stabilizing or going up a little bit and/or incentives fading away. And at the same time there’s no further need to make impairment adjustments. So while that will happen in different markets at different times, I would think that you’d see a coincident improvement.
Nishu Sood - Deutche Bank: That’s helpful. I guess what’s implicit in my question is the timing difference between when you decide, when you look around at the conditions, you decide to impair an asset and then when it ultimately flows through your, when you ultimately close on it, and in fact related to that, there was an interesting disclosure or just a kind of comment in your press release this morning, and I think you had it last quarter but not before that, that your impairments actually do not ever relate to closings within the same quarter. So that there is some type of delay. Now that just might have been a change to your language. I wanted to focus in on that a little bit because I was under the impression that occasionally you might impair something that would actually flow through and you might actually close the same quarter. Has there been a change in the timing differential, might that reflect differences in what kinds of assets you’re impairing. Earlier on in the cycle maybe you were impairing more standing inventory, now its more land that’s further out. So maybe you could just kind of help me understand what that disclosure meant as it relates to the time between the impairment and the closing.
Bruce Gross : To the extent there is a land sale during the quarter we treat any loss as an impairment. Okay so that’s one disclosure that we have been careful to clarify.
David Collins: You might be referring to the non-GAAP financial measure disclosure that we have in there. We’ve always disclosed gross margins excluding impairments and including impairments. The non-GAAP financial measure just adds some color on how certain adjustments flow through margin and we wanted to separate because the impairments we take on the homebuilding side relate to homes that are not closed. We wanted to show what our true margins are for homes that we deliver during the period which is excluding impairments and then we also disclose gross margins on home sales including impairments. So we just wanted to clear up that we were showing both sides of the gross margin in and out.
Nishu Sood - Deutche Bank: So there’s been no change to clarification of the way things have been.
David Collins: No change, just further color.
Operator: Your next question comes from the line of Daniel Oppenheim - Credit Suisse
Daniel Oppenheim - Credit Suisse: I was wondering if you could talk a little bit more in terms of SG&A and if housing conditions were worsening you talked about getting down to 10%, clearly the revenues should start to improve soon with this and so I [inaudible], just by better margins, but do you still have the goal of getting to 10% SG&A, what’s the timing do you think around that.
Stuart Miller : The answer is yes, and we’re still very focused on it for this year-end.
Daniel Oppenheim - Credit Suisse: And then secondly, there’s a lot of talk in terms of the better environment and looking at the finished land opportunities, how are you looking at the developing on the raw land that you have currently. Are we getting close to the point where you could do that or still some time away. If so what would it take to get there.
Stuart Miller : Its still going to take some time before the development of raw land in most instances will make a lot of financial sense. And we’re clearly looking at every dollar spent as a dollar that needs to be held accountable for its own return on investment. So investment in development dollars, in development right now, does not return adequately to merit the investment and that’s why we’re looking primarily at buying homesites at a lower price then you could actually develop in many instances today. And that’s where our production will come from.
Operator: Your next question comes from the line of Jay McCanless - FTN Equity
Jay McCanless - FTN Equity : Have the sequentially improving conditions you say during the quarter carried over to September.
Stuart Miller : We really don’t comment on the next quarter but since I don’t comment I won’t say that things seem to be holding consistently as we go forward.
Jay McCanless - FTN Equity : Understood, my second question is on the credit and on what we’ve been hearing from other builders about the quick move business, in terms of being very tight on your spec counts, or do you believe that you may be giving up some sales at the margin just to make, to be more conservative or do you feel like that the natural spec creation through cancellations, if that’s meeting that opportunity well enough.
Stuart Miller : That’s kind of the age old question in homebuilding and I think that the argument can always be made and always is made by a sales force that we’re giving up sales because we don’t have more spec on the ground and its possible that we are. But our balance right now tells us that we’re going to have more purchasing power then we will lose sales. And so we’re going to stick with the low inventory level and we think that the natural inventory as you pointed out is sufficient to pick up the lion share of the sales that we might otherwise lose.
Operator: Your final question comes from the line of Ken Zener - Macquarie
Ken Zener - Macquarie: You have two times backlog with units under construction, it seems like you have plenty of units out there. Can you talk about the propensity to build spec on these new lots that you’re purchasing verse waiting for an order.
Stuart Miller : We are very reluctant to build any spec. We’re not treating any of the new homesites differently then the already existing ones. And our program is very much the same. We’re not out there chasing the opportunity to add production. We want to do it profitably on a home-by-home basis.
Ken Zener - Macquarie: What is your owned lot count and can you give a little bit more color around the land bids, you spent $77 million but was that maybe 20% of your bids went through and could you give us a little flavor of competitive bids, pricing, and why you think you lost on the deals that you did.
Bruce Gross : Let me answer the first question, our owned home site count increased to approximately 78,000 this quarter.
Stuart Miller : I wouldn’t venture a guess as to how many of our bids actually went through. The reason that we lost on some of the bids that we lost on is because someone else bid higher. But no, I think that—
Ken Zener - Macquarie: Did you sense that it was from more aggressive people that had a less deep land supply or they were perhaps more, greater liquidity, or I assume true investors would be paying, unlevered investors you’d be able to beat on a pricing dynamic, so did you get any feedback from your field operations.
Stuart Miller : There’s really not a consistent theme. We’re trying to, you and I are trying to have a discussion about national numbers, when in actual fact its such a local phenomenon. In some instances we’ve been outbid by small local builders that are using leverage. Its basically a levered bid in one form or another. In other instances it’s a national builder that might have a specific need in a particular market. I think that there’s clearly been an uptick in the number of participants looking for homesites. And when finished homesites come to market, multiple bidders are showing up today. But the underwriting by and large is still pretty carefully done. We have seen some instances where we’ve been surprised at the prices that have been paid. And we’re staying away from that. We’re not chasing pricing but we’re measuring our program very carefully. I’d have to say that we’re losing more bids then we’re winning but the ones that we’re getting we’re very comfortable with. I’d like to thank everybody for joining us. I apologize for those who have questions that we weren’t able to get to. Certainly Bruce, Scott, and myself, we’re all available to have an offline discussion. I’d like to thank everybody for joining us for our third quarter and look forward to reporting year-end.